Operator: Good day, ladies and gentlemen and welcome to the MicroStrategy Second Quarter 2014 Earnings Call. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. I’d like to turn the call over to your host, Michael Saylor. You may begin.
Michael Saylor: Hello, this is Michael Saylor. I am the Chairman and CEO of MicroStrategy. I want to welcome you all to today’s conference call regarding our 2014 second quarter financial results. I am here with our President, Paul Zolfaghari and Jonathan Klein and our CFO Doug Thede. First, I’d like to pass the floor to Doug who is going to read the Safe Harbor statements.
Douglas Thede: Thank you, Michael. Various remarks we make about our future expectations, plans and prospects may constitute forward-looking statements for purposes of the Safe Harbor provision under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in our most recent quarterly reports on Form-10-Q filed with the SEC. These statements reflect our views only as of today and should not be reflected upon as representing our views at any subsequent date. We anticipate that subsequent events and development will cause the company’s view to change. However, while the company may elect to update these forward-looking statements at some point in the future the company specifically disclaims any obligation to do so. Also during the course of today’s call we will refer to certain non-GAAP financial measures with a reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued after the close of market today which is located on our website at www.microstrategy.com
Michael Saylor: Thank you, Doug. As many of you know we have recently changed our policy on speaking with investors and financial analysts and this call is indicative of that policy change. It’s been quite some time since we held quarterly results calls and I do indeed welcome you all and appreciate your interest and support. We’ve decided to change our Investor Relations policy because a combination of developments in the marketplace convinced us that more transparency will be beneficial to the firm and all of its constituents. The first of these developments, we are nearing the end of a four-year period during which we explored the viability of a dozen different opportunities relating to our core enterprise analytics business. We have invested a great deal of time to understand and to appreciate the implications of cloud, social, mobile and other technologies of our core business and have developed and powered many different offerings. The second driving factor is we have focused our business activities on two enterprise software platforms; Analytics and Identity and we have developed a much better understanding of how to incorporate the cloud and mobile capabilities in the marketplace into those two platforms. The third driver for our change in Investor Relations we’ve divested or discontinued our interest in voice, consumer and social apps and services and that’s given us a greater degree of clarity with regard to our going-forward business model. And the fourth driver of our change in policy, the tempo of the marketplace and the opportunities in the capital markets have both increased over the past few years and our investors have pointed out that the company’s prospects would benefit from more communication like these. So taking in to account all of these four drivers we thought that this was the right time for us to reinstitute quarterly conference calls and begin to communicate more directly with the Street. Moving on to the state of the business, 2014 is a transition year for our firm and we are working to complete a major upgrade of our analytics platform as well as to commercialize our enterprise identity platform. There were a number of bright spots in Q2 but I can’t characterize it as a good quarter for the firm. Our product base revenues were up and our support renewals were strong but our overall growth rate was not what I would have liked, our professional services revenues declined. The combination of slow product growth, declining professional services revenues and the rapid increase in corporate expenses caught us a bit by surprise and resulted in a loss for the quarter. This is disappointing and it’s unacceptable over the long-term. So, we will be taking decisive actions to trim cost and to return the company to profitability as soon as possible. I expect we’ll recruit a new Senior Executive Leadership Team in sales and services as well as strengthen our budgetary controls. Looking forward I expect we will deliver strong product improvement in the analytics platform towards the end of the year and I also expect we’ll reach a GA version of our identity platform in the fourth quarter. However, it’s unclear that either of these will have a material impact on our revenue and profitability in the next six months. But both should benefit us materially in the 2015 calendar year. For the remainder of 2014 our focus will be on sales execution, new marketing programs to exploit our cloud and mobile offerings and improvements in our professional services operations as well as corporate cost controls. Next I’d like to turn it over to Paul to discuss some of our business and customer highlights in analytics space.
Paul Zolfaghari: Thanks Mike and thanks everyone for being on the call. As we look at and managed the performance of the business overall in this quarter we principally evaluated and focused on three years, product revenue, software support revenue and professional services revenue. On the product revenue side, which includes our on-premise sales of perpetual licenses and subscription to our cloud services business our business grew 6% year-over-year to $35.3 million. We believe that this number reflects continued interest in the products and software as demonstrated by the fact we recorded growth year-over-year. However as Mike pointed we also believe that with the compelling solutions we have in the marketplace we believe that we can do even better and we expect to do so. In order for us to continue to accelerate the growth in this line of business we are focused on three main initiatives. One is improving the market awareness and understanding the power of our solution. Industry analysts are giving MicroStrategy very high marks on the capabilities of its solution but right now we don’t believe that the market awareness is yet equal to the value of these objectives analysts see in our solutions. As a result we believe that better focus on educating the market about the solution will pay dividends. This is why after an expensive search we recently hired Marcus Starke as a CMO at MicroStrategy. He comes to us after two decades of marketing and advertising excellence, most recently at SAP where he was the Senior Vice President of Global Field Marketing. Marcus has already attracted on brought on board several additional executives and we believe this team is going to be accelerator on driving forward the market awareness. The second opportunity that we see to continue to grow the product license line is building strategic partnerships with key ecosystem companies who support our mission. This is an area where we are also seeing dividends. We recently announced our strategic partnership with Amazon AWS where they are publicly aligning themselves with us and us with them to bring the promise of low cost high availability access to MicroStrategy via the market leading cloud provider. Amazon was a Keynote presenter at our recently completed MicroStrategy World Conference and explained the strategic importance that MicroStrategy has to their mission going forward. Third, we are vigorously focused on sales execution. This is a combination of bringing in the additional sales executives and leadership that Mike spoke to and also managing the business with a very strict performance and culture commensurate with the goals, financial goals that Mike just oversaw. On the software support revenue side we grew the revenue by 9% year-over-year to $74.6 million. We see that as a healthy number evidencing the strong value that our existing customers see in our offering. It also demonstrates that the very high support renewal rates we have and a strong foundation of support revenues from which we’ll be able to continue to grow the business and revenue going forward. On the professional services side, we saw a decline in revenue of $4.1 million or 11%. Some of this decline was expected by us as we continued to build the capabilities of our partner ecosystem and see more of our partners take on more work for our customers. However we also believe that this is an area where we can improve our results as well. To the end the previous EVP of professional services is no longer with MicroStrategy and we are very close to announcing a new leader that we know will bring industry best practices to our services business. So we’re very excited to see our partner ecosystem grow around our product offerings. We also believe that the new leadership we will be bringing on board is going to continue to drive forward our services revenue as well enabling the partner community. Now looking forward into the remainder of 2014 and 2015 we see ourselves as very well positioned for the key trends in the marketplace. Our mobile product is universally regarded as the leading solution and has been a key differentiator in our business and many of our sales cycles already. We see this differentiator growing as more and more organizations see the enormous value of mobile technologies and adopt the mobile wave and we are now several years in the development and deployment cycle of our mobile technology and our investment ahead of others has now firmly positioned us as a leading product as this market adoption continues to accelerate. So we’re very excited about what mobile, and our mobile investments will pay for us going forward. MicroStrategy has also been very aggressively investing in cloud. Again we did this before many in the markets saw the true potential for cloud with regard to enterprise analytics, yet today we’re exactly where we need to be. We have a mature cloud offering and with the investments that we put in place we’ve got a growing cloud adoption and we see the market is moving substantially towards cloud not simply as an alternative to deployments on [parameters], an entirely new way to power distribution of enterprise analytics. Lastly, we’re very well positioned to be the leader in the deployment of agile enterprise analytics. MicroStrategy is able to provide the market with the best really of two worlds engaging easy to deploy fast self-service analytics as well as enterprise grade governance and administration. Gartner is referring to this as governed data discovery and predicts that this will be the major driver for enterprise analytics in 2015. So as we look to 2015 we see ourselves as very well position to benefit from this trend as well. We will be able to enable business users to deploy information quickly but to do it without sacrificing the views of data across heterogeneous data stores and take advantage of an enterprise architecture and shared metadata. With that I’d like to pass the floor over to Jonathan Klein who will view MicroStrategy’s Usher business.
Jonathan Klein: Thank you Paul. $the end of Q2 marked a major milestone for us with the beta release of our Usher Mobile Identity platform. The culmination of more than three years of R&D, this release is designed to enable organizations to quickly create, deploy and manage mobile identity networks. Usher synchronizes with widely used ID directories provides peer-to-peer validation and enables password list login to applications and computers. We’re more enthusiastic than ever about the mobile identity business. With the rise of Big Data analytics, cloud and mobility corporations are gathering an increasing amount of data about their customers and storing that information for longer periods of time. At the same time they’re providing their increasingly mobile employees and customers with remote access to their data networks. Cyber security has therefore become vital to an organization’s economic prosperity and reputation and it’s become a CEO and Board of Director level priority for corporations. We believe that there are significant barriers to entry to building a successful enterprise class identity platform. You need to understand Big Data, Cloud, Mobile and Security, you need to be an established company, ideally publicly traded with international operations with a successful track record of meeting the enterprise requirement of Global 2000 and government customers and you need to have a strong balance sheet and powerful alliance partners. We believe we have strong assets in each of these areas. We’re also working with some of world’s leading financial institutions, insurance companies, retailers, universities and government clients to pilot Usher during this beta period and major partners such as Northrop Grumman, Tata Consultancy Services, T Systems and AT&T are enthusiastic about growing the market with us. We plan to continually improve and refine the product during the beta cycle with a goal of issuing a GA release toward the end of 2014. We hope to begin generating material revenue with Usher in 2015. I’d now like to turn it back to Doug to discuss our financial results for the quarter.
Douglas Thede: Thank you, Jonathan. Since I assume that you’ve all seen the press release from earlier today as well as some things mentioned earlier in this call, so I thought it was best to simply make some highlights and observations from my perspective on the current quarter results. So as we know our total revenue increased by $4 million or 3% over the prior year quarter. While the growth number that was not the growth number we’re looking for the quarter, we shouldn’t lose sight that within this result is an 8% growth, when you combine the product license subscription services and product support revenues together versus the prior quarter. Our product license revenue of $29.4 million – so you have a breakout between domestic and international, it was approximately 56% domestic with six deals closed over $500,000 approximately 44% international three deals over $500,000. Furthermore, I should note that the large increase in subscription services revenue over the prior quarter was helped by a onetime recognition of approximately $1 million on a previously deferred deal due to certain contractual commitments that we met in the current quarter. But overall the growth in this area is still very healthy as we add more customers to the offering. Negatively impacting the growth was our services revenue which declined by 11% over the prior quarter and is an area that we believe needs some renewed management attention as mentioned by Paul earlier. While October revenue grew by 3% overall, our operating costs increased by 15% pushing us into an operating loss for the quarter of $12.7 million. These cost increases were concentrated in both sales and marketing expense which grew 16% and R&D expense which grew 32%. Both of these expense increased were mainly attributable to the headcount growth in those areas. You can refer to the chart on the headcount in the attachment to the press release for the further details on headcount. Note that during the current quarter, our R&D efforts were allocated approximately 70% to our analytics platform, mobile cloud and other internal initiatives and 30% to our projects, including loyalty and identity platform. Finally, general administrative costs did decline 5% from the prior year quarter reflecting a reduction in headcount in this area. As many of you know we have been aggressively adding to our resources over the last few years. However we realized that we may have grown our resources faster than is appropriate and therefore we recognize need to trim back in areas where we’re not operating in an efficient manner. We take profitability seriously and to this end we are currently in process of finalizing a plan that is expected to result in annual pre-tax cost reductions of at least $40 million mainly through headcount reductions. The final cost reduction number will reflect our deliberate effort to reduce areas of inefficiency. Candidly I do not like to see operating losses and this cost reduction effort is one that I am personally going to drive and be accountable for. We have a long history of profitability – strategy and we will work diligently to return ourselves to profitability in 2015. In closing I will highlight that our balance sheet continues reflects a solid financial foundation for us. We have cash and short-term investments totaling $367.5 million at the end of second quarter of 2014 and we continue to have no debt. Our year-to-date operating cash flow was 14.4 million reflecting strong collection activities, reducing our accounts receivable days outstanding to 37 million for the second quarter of 2014 from 48 days in the second quarter of 2013. Additionally, our total gross deferred revenue balance at the end of the second quarter of 2014 totaled $212.5 million compared to $195.5 million at the end of the second quarter of 2013 representing a 9% increase. In addition, to these amounts we also have additional future minimum commitments by our customers to purchase our goods and services of $123 million as compared to $111.4 million as of the end of second quarter of 2013 representing a 10% increase. Overall, I remain very enthusiastic and confident about our place in the market and our future prospects. Now I like to turn it back to Michael for some concluding remarks.
Michael Saylor: Thanks Doug. When we think about 2014 I truly consider it a transition year for us. We have working on significant innovations especially over the past few years and I believe these investments will position us for the long-term. As mentioned earlier in this call we believe we are well positioned to take advantage of major opportunities we see in analytics, including mobile and cloud and capitalize on the increasing demand for a solution to the enormous problem of cyber security. For the remainder of the year our focus will be on execution. And with that I’d like to take questions from the analysts. Thank you.
Operator: (Operator Instruction). Our first question comes from Karl Keirstead with Deutsche Bank. Your line is open.
Karl Keirstead – Deutsche Bank: Thank you, Michael, Paul, Jonathan and Doug. I wanted to start by just thanking all of you for this change in posture about communicating with the Street and the level of transparency in general. It makes a huge difference for everybody in the line so, thank you. I have got a couple of questions and I thought I’d start with a question about margins and profitability. The $40 million restructuring plan, certainly a major step in the right direction but it’s coming off such a historically high cost base that it’s still tough for outside analysts to estimate what a normalized margin structure should look like for MicroStrategy in 2015 and beyond. I realize you are not here to give specific guidance but as we all collectively try to gauge whether an eventual return to let’s say 20% margins is even realistic Michael I was hoping you might just take a minute to layout your broader thinking and goals about margins going forward. Thank you.
Michael Saylor: I think that our general thought is we want to be in the black in 2015. I think if we look out 12 to 24 months we’d like to be running the business with the 10% margin and I think that whether or not the operating margins are better than that is really a function of the growth rate of the company and if we are running – I think if you are running a low growth company I think that 10% is kind of the minimum you can target and of course healthier would be higher. I think if you are running a higher growth operation and if we see opportunities to expand more rapidly we might expect a lower margin target and I think we will have a clear answer to that question when we look – when we wait 12 months and we see how all of our new product initiatives have evolved.
Karl Keirstead – Deutsche Bank: Okay, good that’s helpful. And if I can just ask a couple of more Michael you also mentioned in your opening comments that you weren’t satisfied with the core product license growth. I think if we strip out subscription it was down 4%. I am just curious if you could offer a little bit of color about that core on prime analytics business. Do you think it came in a little bit below expectation because of a tough macro environment. We certainly heard that from some others or do you think it was a little more MicroStrategy specific and hence it can be corrected with the kind of changes you offered on the call?
Michael Saylor: I’ll give you my opinion Karl and then Paul may have his commentary. We had an open spot for Head of Worldwide Sales for more than a year and I think that’s a vacuum, a major vacuum we need to fill and I think the results of that is it undermines our ability to execute in sales. I think that Paul has done a pretty good job of stepping in and filling that hole but we need to add a couple of more senior sales executive, and we need to tighten our sales execution and if we are doing that I think we’d see better year-over-year performance on the sales side. Paul?
Paul Zolfaghari: Yeah, I mean I echo that as well and enthusiastically working to try to you know to book and bring forward that theme. I think we are doing the same as well on the marketing and on the services side as well.
Douglas Thede: On the macro economy Karl I think that our that there is a lot of confusion in certain parts of the world outside the U.S. and on the other hand I think the U.S. market macro economy is pretty strong. So I wouldn’t pin any of our challenges in execution on the macroeconomic environment although certainly you can focus on the wrong places and it would be a more or less an impact on you. I think generally the big picture is strategically we think that we need to drive our product revenues and the best way to do is improvements in sales and marketing executives and we are making those as fast as we can and I think on the services side although it’s not essential that the company build a huge professional services business I do think that it’s important for us to improve professional services because it’s a gate way for us to drive the cloud business and also there is no just reason that an enterprise software company shouldn’t have a healthy professional services business specializing and technical guidance to its installed base. And I think that’s also just an execution issue. So our view is right now we need to execute better and the right way for us to do it is a combination of changes in systems and procedures internally as well as bringing in some new talent.
Karl Keirstead – Deutsche Bank: Great. And I’ll just ask one more and I’ll go back into the queue. I think everybody in the line, Michael and Paul in particular are well aware of the tremendous growth of [Tableau] and some of these pure plays on self-service analytics it doesn’t seem that many of your rivals among the larger BI players have had much success coming out with competitive products in that area and I think everyone online would love to hear what you have coming. I think there is a little buzz around an upgraded self-service analytics product coming up by the end of the year. Perhaps you could address that just given that it has got a lot of attention over last few years.
Paul Zolfaghari: Yeah, it’s correct. Karl this is Paul. So, first thanks I think a great question I think the market you know is crystallizing around what all of this is going to look like. We do feel very, very confident in really the long term vision for what MicroStrategy has in store not just across enterprise analytics but really this idea visual data discovery are top service analytics which I think is represented by Tableau and some of the other companies. What we believe very, very strongly and I just breezed over it earlier. We believe very strongly and Gartner has highlighted it very specifically in their most industry report is that the dominant player long-term is going to be the company that cracks the code on what’s generally referred to as governance data discovery. That’s their term not ours but quite frankly it’s very empowering for us because it’s the exactly the vision that we have for the business. We believe very strongly that the long-term solution is going to marry the enterprise grade governance and administration that we bring but to the agility to be able to deploy and have those analytics deployed and managed more easily and directly by business users. So we are very, very optimistic and very excited about not only where the product is today but where we expect to take the product going forward. And so the buzz that you are hearing we think is appropriate and we think that this is a story for which it’s not fully been written and feel very good about how we are positioned.
Karl Keirstead – Deutsche Bank: Terrific, thank you gentlemen. And I’ll pass the phone to my colleagues.
Michael Saylor: Great, thanks Karl.
Operator: Our next question comes from Greg McDowell with JMP Securities. Your line is open.
Greg McDowell – JMP Securities: Great, thank you very much. Hi, gentlemen and thank you for hosting the call. You are currently delivering your analytics by the form both on-premise and in the cloud. And I heard you say you see the market as moving substantially to the cloud. Can you talk a little bit about the potential cannibalization of your current on-premise revenue business and potentially the financial impact to the model of that move over the cloud?
Michael Saylor: Well, I’ll let Paul start and I’ll have few comments when he is done.
Paul Zolfaghari: Great, thanks Mike. You know we don’t use cloud really as a cannibalization you know customer are we see as cloud as an opportunity to expand the addressable market. Now this market is about the democratization of data and information. If you look at where companies have really struggle with analytics it’s because it’s been too difficult at some instances to deploy with the expertise that they have in house. So we see cloud I mean that will be a little bit of overlap as people start to determine which works best in particular instances but there is doubt in our mind and I think many people’s mind that cloud is going to be a long term player in really expanding the addressable market for enterprise and enterprise analytics and that’s why you see us you know so aggressively promoting the relationship for instance that we have drop with Amazon AWS offering. We see that as both complementary to what we are doing and really supporting the overall growth and extension of the business to a number of different geographies and business units that might otherwise find it difficult to build and standup in enterprise on current deployment.
Michael Saylor: You know and I would add that when you are selling on premise software you are generally selling it to a global 2000 company with a very well establish IT department, established data center a very well establish mission and requirement to run software in house either for legal reasons for contractual reasons and those organization you know have been working for a decade or two decades. Generally they don’t just turn 90 degree in 12 months or 24 months and they have a pretty good reason to keep buying on-premises software and keep maintaining, there is great deal of asset investment there. There are two new constituencies that we acquire by having a strong cloud offering. One constituency would be department executive in line of business executive who have additional requirements that they feel can’t be met in a timely fashion or in economic fashion by their in-house IT organization and they wanted to do something which is outsourced and that’s totally new business for us. The second class of customer for the cloud are organizations that don’t have IT departments at all. It’s possible to have a millions of members of your union or millions of customers or tens of thousands of employee but not have sophisticated expensive well financed by IT organization. And then third class of customers you hit with the cloud would be small, mid-size operations enterprises but they have a small IT organization but they don’t have the data center scale or the global scale or the technical capability to do the kind of things that they could do if they partnered with us in a large cloud operator like Amazon. So we see cloud primarily as an opportunity that’s the good news the bad news is it all new business with new types of customer and for that reason we don’t stay up night worrying that all of our existing are – we actually spend our time trying to keep our existing customers happy and then we go find these new constituencies and we bring them interest our customer orbit.
Greg McDowell – JMP Securities: That’s helpful. Thank you very much. One quick follow-up can you discuss the new packaging and licensing that was announced at MicroStrategy word in Barcelona seems like a pretty significant change for the company and I was just wondering if you could walk through what brought about the change and what you are seeing so far in terms of customer reaction to the change?
Paul Zolfaghari: Great, Greg. This is Paul, yeah, thanks for highlighting it because it is something that we think is important you know what brought. About the change really it’s customer feedback. The customers told us that it would make it easier for them to more widely deploy MicroStrategy if we simplify the offering. And to Mike’s point one of the predominant reasons why you need to simplify the offering is in the current environment many, many business users are evolved in discussion making now. So to the extent that we can simplify the offerings that it is easy to be understood by and consumed by business constituents who are participating the decision that’s we think going to do nothing but give us a greater audience for the our packaging going forward.
Greg McDowell – JMP Securities: Great, thank you.
Operator: Our next question comes from James Gilman with Drexel Hamilton. Your line is open.
James Gilman – Drexel Hamilton: Thank you, good evening folks. I have a couple of questions, I am going to ask what I think is more simple question, one simple question that is around the model identity management I think you know I view management as an insurance policy just like people enterprise would like to have but not necessarily like to pay for it. So if you could comment on that it would be great but I want to go ahead and ask the second question which I think is the more important and it’s around to say the long-term strategy. Now the question with that earlier around, the self-discovery or the BI, self-service BI and you’re mentioning the governed data discovery. In reference to the governed data discovery I would think that would need to happen additional products would be R&D intensive. So it might take time to roll that out in the meantime you might be missing out on that opportunity that Tableau and QuickTech are capitalizing on. So if you could comment on those two that would be great. Thank you.
Michael Saylor: So just sorry to say the first question is how does the enterprise value identity is that what you’re getting at. How are the enterprises going to view mobile identity?
James Gilman – Drexel Hamilton: Correct. Yes.
Michael Saylor: Okay. Well right now as far as we can see the need for multi factor authentication and better cyber security techniques has emerged from an interesting nice to have five years ago or maybe a technical thing to become in pretty essential part of anybody’s portfolio. So I don’t think there was any global 2000 company where you can’t get a meeting to talk to the CIO or talk to the CISO if you start with the elevator pitch that we’ve got a better way to secure your enterprise than traditional passwords or traditional security tokens. They all want to talk about that and in terms of value, I would think that any organization that’s got north of 10,000 employees would have value north of $1 million a year to find a better way to secure that enterprise. So there are a lot ways to get it how big the market is or how value it is for a given enterprise but it’s pretty clear that it’s a multi-billion dollar marketplace out there that we had if you can actually show people you’ve got a better approach and a nice thing about the world today is that the current approach 95% of the time is the password. So they all know that a better approach is going to involve mobile software running on the smartphone and does something with strong encryption on the backend and maybe biometrics or secure element and the phone on front end. Jonathan do you have any of that?
Jonathan Klein: I mean one other way to look at the market is that there is estimated to be $300 billion loss to cybercrime this coming year. So that puts a framework around the amount that – I think the President of United States recently gave a speech that the cyber security is going to be the defining issue of the 21st century. So we think there is a big opportunity here data breaches have caused CEOs to lose their jobs and it’s become a Board of Director level issue. And so we see a huge opportunity and everyone we’re talking to have an interest in solving this problem and no one’s crack the code previously and it hasn’t been possible prior to the wide scale deployment of mobile smartphone technology which has really happened and crossed a certain threshold in the last 18 to 24 months.
Michael Saylor: Moving on to your second question about governed data discovery and self-service. I think the one point that I would make here is we have a very rich sophisticated enterprise architecture that’s evolve over 20 years and it’s not just an architecture to make more sophisticated reports or build more sophisticated metrics against the complicated structure database. We also have a very rich security architecture and object sharing model and metadata model and because we have all those things we have a latent opportunity that we can realize as we start to create better visualizations and give people better windows into that rich security model and in that rich metadata model. We can provide much more power to the casual user, the analyst to the edge user or the power user. And so we see improvements and visualization on the desktop and visualization in the web and visualization and the mobile device as a trend which is very auspicious for us and it’s a lot – if you have a sophisticated power architecture that has been under leveraged. It’s a lot easier to improve the interface and leverage it then it is to take a simplistic architecture without security orientation or the proper Meta sharing and into build that. So we’re starting from the high ground and we’re doing our best to take advantage of best practice on the client side and we’re also inspired and we’re learning from the successes of the Tableaus, we are not at all unaware that they’ve got an exciting experience for the analyst. Our view is we’re going to be inspired by that, we’re going to provide similar exciting experiences for the analyst but we’re going to plug it into an industrial strength enterprise architecture that provides security distribution, scalability, elasticity and sophistication robustness. So I think that’s it. Any other questions?
James Gilman – Drexel Hamilton: No, thank you Mike and Jonathan.
Michael Saylor: Okay. Thanks.
Operator: Our next question comes from Frank Sparacino with First Analysis. Your line is open.
Frank Sparacino – First Analysis Securities: Hi guys. Two questions. I wanted to go back to the comments earlier about driving product growth and new packaging and get your feedback on. If you’re leaving money on the table in the short term with the new packaging scheme and how do you further monetize the install base on the analytic side.
Michael Saylor: Hey, Frank. I don’t think any of us are of the opinion that we’re going to leave money on the table with a simpler packaging scheme. We brought together a set of sophisticated, so a lot of them were very low volume analyst tools where is just as likely someone buys three of them and doesn’t buy the other seven as it is that they buy them all. And so by putting the offerings together and bundles that make sense for the end user, I think it’s a chance for us to get our technology in the hands of developers and those developers build more applications and drive more demand and we lower the impedance for the sales cycles. So we’re expecting better sales efficiency, more coverage and more deployment of intellectual property that requires MicroStrategy servers. What was the second part of the question?
Frank Sparacino – First Analysis Securities: Second, Mike just on the – you’re sitting on a record amount of cash today and you had given the sort of R&D makeup and the way you guys operate. I’m just wondering how do you effectively put that money to good work.
Michael Saylor: We’re thinking about it all the time and we like to keep our options open so that we can be optimistic if we see a particularly good thing come along. We also believe that it’s helpful for us to be in a position to do share buyback should the market represent an interesting proposition there. And finally, I think we like to have a strong balance sheet because when we’re in negotiations with counterparties especially in the emerging enterprise security space, and enterprise identity space. It’s comforting for them to see that we’re actually going to be around for the long term. So it’s a sales and marketing tool. It give us the ability to pursue strategic deal should we see them and we’re ready to buy out the stock if we feel it’s undervalued and that’s how we used our balance sheet. We’re open minded toward all of those things and we’re thinking about it all the time.
Frank Sparacino – First Analysis Securities: And Mike just if I could I just want to clarify one of the comments you made I mean historically you guys have never done an acquisition, do I interpret from your comments there that you’re more open to acquiring technology or not?
Michael Saylor: I think we’re open of doing whatever is in the best interest of the shareholders and the best interest of the company. We don’t think of ourselves primarily as a company that grows via acquisition but I think that having a strong balance sheet and having cash on the balance sheet makes it possible to enter into strategic deals and we see those opportunities and I think it’s never a bad idea in business to have opportunities.
Frank Sparacino – First Analysis Securities: Thank you.
Operator: Next question comes from Greg McDowell with JMP Securities. Your line is open.
Greg McDowell – JMP Securities: Thank you. Just one quick follow up I think hosting your earnings call is a great first step but any sense on what we could expect going forward as far as Investor Relations program has concerned?
Michael Saylor: That’s currently a work in progress. I think we’re expecting we’re going to reach out more to investors. We did a roadshow earlier this year so I suspect that certainly at least one or twice a year we’ll do a roadshow to go with different investors. We’re looking at investor conferences or good tech conferences where we might show up and present if you have suggestions for what you think as an ideal Investor Relations program, we’re open minded toward that and we’re looking for those suggestions right now. I think in time we may appoint a new Head of Investor Relations but for now our view is we want to have good quarterly conference calls we want to have a good relationship with the sell side analyst. We want to work for efficient ways to get out and brief the market on semi-annual basis or so.
Greg McDowell – JMP Securities: Great, thank you.
Operator: The next question comes from Karl Keirstead with Deutsche Bank. Your line is open. Karl Keirstead, please check your mute button. Your line is open.
Karl Keirstead – Deutsche Bank: Pardon me, I was muted, sorry about that. One follow-up from me to Michael. Mobiles a topic near and dear to your heart I think dealing large part to your early push years ago MicroStrategy struck out ahead of the pack on the Mobile BI front, I am sure you have a view on this IBM Apple announcement made a few days ago, how – and IBM is talking about pushing analytics and BI on to mobile, what’s your take on that and to the competitiveness vis-a-vis what MicroStrategy already has in the Mobile BI space?
Michael Saylor: I think starting around 2009 was pretty clear that iOS and multi-touch was going to be emerging operating system and not just a fad. We released our first product 2010 but candidly we had some frustration because it seemed quite obvious than that everybody should be stampeding and what we saw were a number of enterprises waiting to see what Microsoft would ship and what Blackberry would ship and whether or not Apple would be successful in the enterprise and that cause people to wait for two or three years. I think the market unfolded pretty dramatically about a year ago around 2013 at the point that Steve Ballmer stepped down at Microsoft you saw between the Microsoft moves and the Blackberry moves a meltdown in the market and then all a sudden a lurch forward and it became pretty clear to everybody in the world that the mobile market was going to be iOS and Android and you even see that clearer today if you look in the last month with all the Microsoft layoffs that they say are targeting very heavily at Nokia if anything what you’ve got is the enterprise embracing mobile. IBM’s decision to tie with Apple is really to my mind a huge endorsement of the transition to mobile and the explosion of mobile application demand in the enterprise and it means that the bluest of blue chips is going out and telling the most conservative – traditionally IBM customers were the most conservative customers and IBM was the most legitimate and bluest of the blue chip provider, you’ve got a very conservative enterprise technology company going to very conservative customers endorsing Apple computer. And the result of that is I think just about everybody in the world unless you’ve been hiding under a rock has to ask themselves the question, what mobile app location haven’t I build than I need to build and how I going to make myself more efficient. As it turns out, this is going to result in an acceleration in the way the remediation in mobile apps and a massive increase in demand. Apple doesn’t provide anything competitive to us and IBM doesn’t really offer a competitive suite of mobile technology the way we do. If anything I will expect that this is going to lift all the boats in the marketplace like a rising tide. I think that anybody who got a very strong mobile offering is going to have their phone ringing. And we had an offering which has consistently ranked at the top if not the number in the marketplace. So I think it’s auspicious development and really a good thing. I think it’s also emblematic of IBM throwing in the towel in a way just like Microsoft in a way, shipping Microsoft Office on the Apple is going to throw in the towel. And when you see IBM and Microsoft both jumping behind the Apple Ecosystem, right? The interesting question is just how does this play versus Google or anything else despite it’s kind of it’s the way coming down on the Apple side versus Google, I think for everybody else in the market, I think we are all cheering for it and it’s going to result in new opportunities opening for all of us.
Karl Keirstead – Deutsche Bank: Okay, really appreciate the color.
Operator: Thank you. This ends our Q&A for today. I’ll turn it back to management for closing remarks.
Michael Saylor: I want to thank everybody for being on the call. And we look forward to seeing you again in 12 weeks and for now back to work. Thank you.
Operator: Ladies and gentlemen thanks for participating in today’s program. This concludes the program. You may all disconnect.